Operator: Welcome to the Treehouse Foods Conference Call. Today's call is being recorded. At this time, I would like to turn the call over to Treehouse Foods for the reading of the Safe Harbor statement.
PI Aquino: Good morning. This conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements include all statements that do not relate solely to historical or current facts and can generally be identified by the use of words such as guidance, may, should, could, expects, seeks to, anticipates, plans, believes, estimates, approximately, nearly, intends, predicts, projects, potential or continue, or the negative of such terms and other comparable terminology. These statements are only predictions. The outcome of the events described in these forward-looking statements is subject to known and unknown risks, uncertainties and other factors that may cause the company or its industry's actual results, levels of activity, performance or achievements to be materially different from any future results, levels of activity, performance or achievement expressed or implied by these forward-looking statements. Treehouse's Form 10-K for the period ending December 31, 2011, and subsequent Forms 10-Q discuss some of the risk factors that could contribute to these differences. You are cautioned not to unduly rely on such forward-looking statements, which speak only as of the date made when evaluating the information presented during this conference call. The company expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statements contained herein to reflect any change in its expectations with regard thereto or any other change in events, conditions or circumstances on which any statement is based. At this time, I would like to turn the call over to the Chairman, President and Chief Executive Officer of TreeHouse Foods, Mr. Sam K. Reed.
Sam K. Reed: Good morning, all, and welcome back to our Treehouse. Dennis and I have much to share with you regarding our accomplishments of the past year, our prospects for the new year and lastly, our outlook for the M&A market in the food sector. First, let's return to 2012 with particular emphasis on our recent progress and year end condition. While Dennis will provide the financial and operational details, I'll summarize our headlines as follows. Fourth quarter shipments approach $600 million, an all-time high on the strength of hot beverages, including the introduction of single-serve filtered coffee and the acquisition of Naturally Fresh, which has opened new refrigerated markets in both grocery and food service. Our core Retail grocery business grew almost 9% on the quarter in spite of year end shipment volatility as double-digit growth in salsa, salad dressing and Grove Square, a company that filtered coffee roll out, more than offsetting losses in soup. Our Food Away From Home and Industrial business units closed the year on an upbeat note, generating approximately $3.5 million, more in quarterly direct operating income than last year, as they leverage the competitive advantages of our go-to market scale and operational infrastructure. Hot beverages, first launched 2 years ago with the Grove Square control label, are now a major organic growth platform, thanks to last fall's introduction of single-serve filtered coffee. Following the usual learning curve in mastering a new technology, this homebrew has become the hallmark of TreeHouse innovation and entrepreneurial spirit. Having established ourselves as the private label leader, we now have the grocery base upon which to expand coffee capacity, further in pursuit of food service and nontraditional outlets. Free cash flow increased to $132 million, thus reducing our net leverage to a trailing 2.8x, a ratio that will only improve further in anticipation of future acquisitions, whether strategic or bolt-on, in grocery or food service that add new products and markets to our private label portfolio. Taking in their entirety, we believe these end-of-year developments are the harbinger of better times to come for private label and our TreeHouse. Next, and turning to the year ahead, we anticipate volatile external conditions in the marketplace, coupled with a full agenda of internal improvements and expansion opportunities that will drive both topline and margin growth. Specifically, market conditions for aggregate food and beverage categories, which showed volume declines of 0.06% across all measured channels and outlets in 2012, will favor the value without compromise strategic proposition of private label as economic uncertainty continues to weigh heavily on the consumer sector. Input inflation is to be relative -- is expected to be relatively benign with risk concentrated in Midwest grains and oilseeds as the global demand for commodities and energy slowly recovers. Our agenda of internal improvements will bode well for our revenue growth and margin expansion programs. On the revenue front, we generated 2012 sales growth in 9 of 10 of our largest private label categories and achieved similar revenue gains with 9 of 10 of our best grocery customers. Once structural issues in soup are segregated, we expect our core Retail grocery business to perform well, driven by innovation and merchandising in growth categories. And parallel to the top line, our margin should expand approximately 100 basis points as the favorable product mix is combined with productivity gains, capital investment and hedging programs across our operations and supply chain. Through the last 6 quarters of fits and starts, we have reexamined our old ways and found new ways to succeed in a private label marketplace that has rapidly evolved from the traditional supermarket model to the dynamic of ultimate store formats. In doing so, we have reaffirmed the basic premise of our private label strategy and found both new strength in our TreeHouse and new opportunities to grow it. 2013 will mark the emergence of a TreeHouse rededicated to our private label strategy and its manifest to go-to market opportunities. In concluding this introductory overview, I'll briefly touch upon the M&A markets and our prospects for external expansion in the new year. After 2 years of prolonged inactivity, we anticipate that 2013 will usher in another era in food and beverage consolidation, affecting both the glamorous global brands and their more homely private label counterparts. No one can be better prepared or more capable in this circumstance as it relates to private label than our Treehouse. We have delevered during the deal market doldrums, unified our go-to market teams, invested capital and R&D in our growth categories, improved our manufacturing and distribution capabilities and most recently, bolted on 2 small-scale accretive acquisitions. We can all expect TreeHouse Foods to be in the front echelon of strategic acquirers, as the next wave of M&A transactions generates further industry consolidation and expansion opportunity for those with strategy, capital and resources. You can count us in. Dennis?
Dennis F. Riordan: Thanks, Sam. Clearly, the fourth quarter was a pleasant change from the experience of the first 3 quarters of 2012. We saw retail volume improvement in most of our categories, leading to growth in our volume/mix of over 8%. Although the comparison was to a weak fourth quarter last year, we achieved the growth even with the lower soup volumes we have warned about on our last call. Despite the very good top line growth, we are still seeing a lot of volatility in month-to-month sales. Some of this is driven by the number of shipping days in the month and some by the timing of holidays. We're also seeing more active management of retailer inventories as they push more and more for just-in-time deliveries and very quick turnaround on the orders they placed. We are fortunate that we've made the right investments in systems and distribution centers over the last 2 years. We find that the top line movements are challenging, but our success with the operational aspects of beating retailer demands are a key differentiator to doing business with TreeHouse. As we look more closely at our North American Retail grocery segment, our total sales increased 12.9% to $431.7 million. This is -- increase was driven by volume/mix of 8.7% and 2.4% from the acquisition of Naturally Fresh in April of last year. In looking at the product categories, we had sales gains in nearly every category paced by double-digit increases in Mexican sauces, dressings, hot cereals, single-serve beverages and pie fillings. We even had a 9% increase in pickle sales over last year's admittedly soft fourth quarter. The only really weak area was soup where we had a decline in sales due to the previously announced loss of business at a key customer of ours. Partially driving our retail sales increase was the addition of our new filtered coffee products. We began shipments of this product at the very end of the third quarter and have been very happy with the sales of this new product. As we've said from the beginning, this is an important category for us and it has the potential to be a very good long-term driver of both sales and profits. However, we believe that our measured approach is the best way to ensure the category remains a strong place for private label. Due to the early successes, we are already adding additional capacity to our coffee lines and using the current consumer resale trends to assess even more capacity in the back half of the year. We are staying with our measured approach of building up to demand rather than trying to sell new capacity. And just to be clear, we also sell a variety of single-serve hot beverages besides the filtered coffee. These include hot cocoas, cappuccinos, cider and tea products. These unfiltered products are also doing extremely well and have increased approximately 92% compared to last year's fourth quarter. This speaks to both the quality of the products and also the continuously increasing population of single-serve brewers. Direct operating income in the retail segment was stable in the quarter, finishing at 15.6%. This is the same as the full year run rate. These margins are down about 30 basis points from last year, but that is due almost entirely to the addition of the Naturally Fresh acquisition. That business has lower average margins than the legacy business. Excluding Naturally Fresh, margins would have been in line with last year. In regard to the Food Away From Home segment, the new Naturally Fresh business was the reason for the 13.9% increase in total sales. Approximately 50% of Naturally Fresh's annualized sales of $80 million are in the Food Away From Home channel. Excluding these sales, our volume/mix decreased 7.4% due to lower sales of aseptic cheese and pickles. Direct operating income increased to $11.1 million due to the sales from the acquisition of Naturally Fresh. However, direct operating income margins decreased to 13% primarily due to unfavorable sales mix. Our industrial export business had a sales decline of 3.6% due to exiting some very low margin co-pack business. But strength in our industrial powder business more than offset the profitability associated with those lost co-pack sales. Direct operating income finished at $14.4 million, representing a margin of 19.1% compared to 14.2% last year. On a consolidated basis, our sales in the quarter were a record of $592.8 million, as acquisitions, pricing and a very strong volume/mix drove the 10.6% increase compared to last year. Our gross margins in the quarter were 20.1% compared to 21.9%. On a comparable basis and adjusted for certain restructuring charges that flow through cost of sales and acquisitions, gross margins in the business would have been flat to last year. As I move down the income statement, selling and distribution expenses in the quarter increased to $36.1 million compared to $35.6 million in 2011 due primarily to the growth in retail in total sales. As a percent of sales, these expenses decreased to 6.1% of net revenues compared to 6.6% last year. We continue to realize efficiencies from our distribution network consolidation program that we started 2 years ago. General and administrative expenses increased significantly from last year because last year's results included the reversal of a substantial portion of annual incentive compensation as the results did not meet minimum hurdle levels. The 2012 G&A includes incentive compensation expenses, although not at the targeted level. Although our G&A expense increased to a rate of 4.3% of net sales, this was still well below the historic levels of about 5.5% to 6% of net sales because our operating results fell short this past year. Interest expense for the quarter was effectively flat to last year as borrowing rates have remained consistent, but excess cash flow was invested in our Canadian subsidiary to preserve preferential tax treatments. On the other hand, we recorded $300,000 in interest income this quarter that was generated from the invested cash in Canada. Our total debt is now $900 million, a decrease of $55 million since the third quarter. The strong cash flow in the fourth quarter is normal for us as we reduce inventories of fresh crop and fruits that were harvested and bought during the summer and fall. Foreign currency gains or losses were fairly minimal this year as we are only exposed to the Canadian dollar. The combination of a very moderate Canadian exchange rate to the U.S. dollar, combined with offsetting effect of excess cash being invested in Canada, helped to keep this line immaterial the entire year. With regard to taxes, our effective tax rate for the quarter was 30.0%, up slightly from the full year run rate of 28.9%, as our third quarter rate was unusually low. Net income in the fourth quarter was $25.2 million compared to $29.9 million in last year's fourth quarter. This equates to fully diluted earnings per share of $0.68 in the quarter compared to $0.81 last year before considering unusual items. However, after adjusting for the unusual items highlighted in our press release this morning, our adjusted earnings per fully diluted share for the quarter increased to $0.86 compared to $0.85 last year. Although the adjusted earnings were only marginally better than last year, I do believe the quality of the earnings was much better due to the year-over-year change in incentive compensation adjustments. As I've said earlier, last year, we had to reverse incentive expenses resulting in an extremely low level of G&A expense in last year's fourth quarter. And even though we recorded the lower-than-normal amount of incentive expenses in this year's fourth quarter, the swing from last year to this year was about $10 million or about $0.20 in EPS. Now I'll cover the outlook for 2013. While we are very encouraged by the nice growth we experienced in the fourth quarter of 2012, we also know that the economy is still relatively stagnant. Both our customers and their consumers are likely to remain conservative with their purchases and continue to manage both how and where they purchase. We do expect to see volumes grow in 2013, but the growth rate will be small. We think retailers will continue to manage their inventory levels aggressively and that we will again see swings in month-to-month orders as they react to consumer purchases. On the consumer front, we believe the pantries have been pruned, waste has been normalized, and consumption and purchases will come back in alignment. However, that means volumes will generally match with population growth and we will not see pantry loads to match the levels that existed prerecession. The other key assumption we are making is that we are likely to see pockets of input cost inflation, but predicting where and how much will continue to be challenging. We do not see turbulence in the energy markets and expect that the agricultural markets, weather included, will revert to more historic norms. Despite these assumptions, we will make sure our internal processes are constantly at the ready to adjust to changes in market conditions. And finally, we will continue to focus on internal efficiencies in order to manage our product assortment and operating activities in response to changing consumer needs. This means driving costs out of the value products we produce while investing resources in the smaller but growing premium segments such as organic and natural foods. With that in mind, we expect our revenues to grow approximately 3.5% to 4.5% in 2013, with volumes growing at about 1.5% to 2%. The remaining increase relates primarily to a full year of the AMPI and Naturally Fresh acquisitions we made in 2012. As most of you know, we have tried to target approximately 100 basis points of gross margin improvement on an annual basis. This did not occur last year as the combination of higher price points, that have a negative effect on the actual margin percentage, and consumer trends towards lower margin value products caused our overall margins to decrease. In 2013, we do not expect pricing to cause the math issue again and we believe the mix shift has now stabilized. Finally, our investments in premium products will help with a better mix, also contributing to margin improvement. As a result of these items, we do expect to see a return to margin growth and are targeting about 100 basis points of improvement. In regard to our operating expenses, you can expect that our SG&A spending as a percent of net sales will revert to normalized levels. Part of the increase will come in selling expenses, as we invest in R&D and selling programs to drive higher sales of our premium products, especially our single-serve filtered coffee. In addition, we will be resetting our annual and long-term incentive programs, as we do each year, based on the 2013 operating targets. And finally, we will be continuing our investments in systems, with more plants being converted to SAP, and more investments being made in demand planning, product lifecycle management, and analytic tools such as data warehouse and business intelligence. These factors mean our SG&A expenses will be about 13.1% to 13.5% of net sales in 2013. In regard to interest, we expect that short-term rates will likely rise in 2013, but at a relatively slow pace. We finished 2012 with an average interest rate on our revolving debt of 1.7%. And though we expect the average rate for 2013 will increase, it should average just below 2% for the entire year. For the full year, we expect net interest expense to be in a range of $49 million to $50 million. One item to keep in mind is that we have accumulated cash, most of which is invested at our Canadian subsidiary. We expect cash to grow slightly, unless we make significant investments in capital or acquisitions in Canada. For planning purposes, we never include the effect of possible acquisitions. So for guidance purposes, we assume that our cash balances will rise slightly this year and those funds will be reinvested. In the fourth quarter of 2012, we had interest income of just under $300,000, and believe that interest income will be at a similar rate of return in 2013. In regard to taxes, we enjoyed a very low effective tax rate in 2012 due to a combination of good and not so good factors. Starting with the bad news, we had lower U.S.-based taxable income. This is taxed at a higher rate than our Canadian-based income, so this drives the overall rate down. On the plus side, we were able to take advantage of certain state-based income incentive credits as we invested in new capacity at some of our plants. These credits had a positive effect on our overall income tax rate. In 2013, we expect to see a very good rate of 31% to 32%, but obviously, this will be higher than the 28.9% rate we had in 2012. In terms of capital spending, we are again targeting approximately $90 million of spending, with an emphasis on capacity expansion of our coffee business and investments in efficiency in our lines that produce value products. We expect our capital spending to revert to our historical spending allocations of about 1/3 capacity, 1/3 maintenance and 1/3 cost savings. Our depreciation and amortization will see an increase of 3% due to the spending levels of the last few years, including our capacity in new system investments. In total, depreciation and amortization will be about $101 million next year. Our one significant noncash expense is stock-based compensation cost, which we expect will increase to $18 million to $19 million, as our equity incentive programs are reset after our weak 2012 performance. This is pretty close to the levels we originally expected in 2012. After considering the above items, we expect our fully diluted earnings per share to increase by a range of 8% to 11%. Using our results for 2012 as a base, we expect an earnings range of $3 to $3.10 a share in 2013. In arriving at these estimates, we used an average of about $37.8 million fully diluted shares outstanding. Although the earnings growth of 8% to 11% is higher than most of our peers, I think it's important to understand the impact of certain items in 2013. First, the higher tax rate in 2013 is a headwind of about $0.07, plus the reset of long-term incentive compensation plans represents another $0.10 in higher costs. And finally, the higher number of average shares outstanding in 2013 will be another $0.05 in relative earnings drag. After considering these non-operating earnings headwinds, our underlying results should grow by about $0.43 to $0.53 per share of the baseline results 2012. This includes about $0.03 in incremental earnings from the Naturally Fresh acquisition. In terms of earnings growth, the quality of our operating earnings actually improves by 15% to 19% in 2013. I think this gives a better understanding of the operational improvements we expect to make this year. I'll turn it now back to Sam.
Sam K. Reed: Thanks, Dennis. Before opening the lines for Q&A, I'd like to offer some additional color commentary on the year ahead, its place in the evolution of our Treehouse and our expectations of further consolidation opportunities in the realm of private label. First, we have calibrated our 2013 operating plans to address present market conditions and select growth opportunities in private label. Our portfolio strategy will guide us to these specific categories, channels and customers that offer the best opportunity for the strategic progress and financial gain. Our much improved internal proficiency will enable us to take full advantage of our economic scale and distribution infrastructure. Having reexamined the fundamentals of our investment premise, we remain resolutely committed to private label and custom products as the means to generate superior strategic advantage and shareholder value in the food and beverage sector. Next, there is a certain irony to contrasting our present industry position to that of our upstart status of only 7 years ago. We have since become an industry leader and now represent one of the few pure plays in private label food. Our strategy and our resources are dedicated principally to the proposition that customer brands and custom products offer unparalleled opportunity for our customers, their consumers and our shareholders alike. We provide an unmatched suite of value-added services to customers seeking to differentiate and upgrade their house brands. Our operations and supply chain are structured to deliver consistent quality at the lowest landed cost. We are positioned squarely in the path of progress with the means to fully exploit it. Lastly, as the deal market opens, we expect to lead the pack as strategic acquirers and financial investors seek M&A-based expansion in the food sector. Midsized transactions of $100 million to $500 million, the sweet spot of private label consolidation, should be particularly active as earnings transparency improves and deal multiples return to their prerecession norms. As a strategic acquirer, our competitive advantages lie in our portfolio strategy, distribution infrastructure, management talent and access to capital. Our strategy is the guide to those acquisitions that which lead us to the product categories, channels of distribution and grocery or food service customers focused on growth and differentiation in private label. Our infrastructure provides a critical mass and economies of scale necessary to generate synergies while simultaneously serving a broad array of markets effectively. Our teams are well versed in the integration of acquired businesses and their subsequent expansion across the Treehouse network. Our cash generation and capital structure enabled TreeHouse to assess -- access the debt and equity markets efficiently for funding that fits both the immediate M&A opportunity as well as our long-term expansion strategy. In summary then, I expect that we will see a revitalized and reconstructed TreeHouse emerge in the new year. One that -- to borrow a phrase from our annual meeting, "We will be growing strong, standing tall." Dana, you may open the lines for the Q&A now.
Operator: [Operator Instructions] And we'll take our first question from Chris Growe with Stifel.
Christopher R. Growe - Stifel, Nicolaus & Co., Inc., Research Division: Just had a couple of questions for you if I could. I want to be clear -- maybe a question for Dennis on the -- this year you're going to have -- obviously soup volume is being a little soft, which get the benefit of the cost savings coming through, so does that say that you had a little slower start to the year overall? And specially North America, in retail, with cost savings coming through later in the year and -- give us some help of, like, the net effect of those 2 factors?
Dennis F. Riordan: Good point. The soup will be down, the cost savings are going to help to offset volumes. So there will be a bit more of an impact early on. But it's not as if, Chris, the cost savings are going to suddenly turn the total soup business into a higher profit. So I think you've got to be relatively cautious even in the back half because that is the key soup season.
Christopher R. Growe - Stifel, Nicolaus & Co., Inc., Research Division: Okay, sure. And then just a question for you on the gross margin. You had mentioned that if you took out the acquisition and some of the one-time cost, your gross margin was flat in the quarter. If you took out just -- could you say how much of the cost from the restructuring items were in the cost of goods sold? And I'd just be curious, if -- did -- can you talk about degree of hedging for your input cost for the coming year?
Dennis F. Riordan: Yes. The cost of sales took the bulk of the impact from our restructuring. We had -- out of the $0.18, which is pretty close to about $19.5 million for us. Just over $1 million would be in the SG&A and the rest would be in the cost of sales. And that's that accelerated depreciation we have to take when you write down assets. So again, a bulk of it was in the cost of sales as reported. And as far as the hedging goes, we continue to maintain our general policy of trying to be fully hedged 6 months out of what we can hedge. With the markets as volatile as they are, we do look at some opportunities and go a little bit longer in some cases. But for the most part, we stay pretty static and as we've said in the past, the idea here is not to try to beat the market by trying to be smarter, but really to lock in prices as we -- on our inputs, as we negotiate prices with our customers.
Operator: And we'll take our next question from Bill Chappell with SunTrust.
William B. Chappell - SunTrust Robinson Humphrey, Inc., Research Division: Just wondering -- first, let's go back to the North American grocery volume trends in the fourth quarter, and as you talked, it was -- there were some different puts and take. Can you maybe give us an idea what consumer takeaway was? Because obviously you had an easier comparison with the falloff in December of last year. You had the sell-in of coffee which certainly helped, but just trying to understand what kind of underlying trends are as we look at it going forward?
Sam K. Reed: Bill, it's Sam. I think that the headline here, before we get into the particular numbers, is that in the 10 largest product categories that we have that we showed solid growth in 9 of those 10 categories, with soup being the single exception. And then when we'd look at our strategic customers, those that are really dedicated to private label, again, we generated positive revenues in 9 of the 10. And that set the stage for a strong end of the year and we believe something that can carry into 2013. When you get into the particulars, when we said that the whole of the kind of the portfolio of over 102 categories and all outlets was down 0.06 points versus the prior year, when we looked at the aggregate market quarter-by-quarter, the improvement was steady from the first, second, third, fourth quarter over the prior year, and we see a little bit of pickup there as well. I think the last key factor is that the combination of the hot beverages, both the unfiltered coffee at Grove Square and the filtered roast coffee gave a lot of -- a real burst of, if you will, enthusiasm to us and our customers at year end. And we have there established now a base that clearly indicates that we're first in the marketplace and that we are now committed to a further investment in the new year to expand beyond that grocery base itself. So those are the big headlines, and I think the lessons to take out of this.
William B. Chappell - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And so, I mean kind of the low to mid single-digit that you're kind of forecasting this year is kind of the normal run rate. It's not all of a sudden we're seeing a deceleration from fourth quarter to first quarter.
Dennis F. Riordan: No, that's exactly right. And it takes into account the -- some of the lost soup business. So there's -- there are some puts and calls, but I think in general, it's reverting to a new norm.
William B. Chappell - SunTrust Robinson Humphrey, Inc., Research Division: Okay, and then just switching to the single-serve coffee. I mean, there had been various reports throughout the quarter that some of the store-brand products had some shipment issues, quality-control issues. And since we don't know exactly which ones are your customers versus others, maybe you can give us a little bit of kind of how the whole process went. And then maybe when you talk about increasing capacity this year, is that for new distribution? Are you running into capacity constraints now and -- because the demand's been bigger than you expected? Then maybe more color on what you're seeing and why you're spending more money behind that.
Sam K. Reed: Sure. First of all, the summary is this that we are extraordinarily pleased with our single-serve coffee business. And secondly, that the further investment will be to ensure that we have sufficient capacity to expand not only across all of grocery, but also the virtual markets represented by Internet sellers and non-food retailers. And then lastly, to move into food service as well. With regard to the startup, if you go back I think in PLMA of kind of 2010, we took out full page ads saying in 2 years from now, we'll be on the market with a premium quality single-serve roast coffee. That required us to develop on our own a new technology and to enter a new product category. And along the way, we had some of the usual startup, kind of the learning curve. And I was reflecting that going back to when I first got into this business 40 years ago, that this was a technological challenge like few that we have faced and a startup that has been exemplary in every aspect. And the key to me was to make sure that we had the highest quality product. And for those retailers who were committed to being market leaders, that we provided them with the quality, the consistency, the variety that they would have to have to put their brands in the forefront of this category. And we have done that in every respect. To grow further in Retail, we'll take advantage of the distribution network we have. And to remind everybody, I mean, we ship a thousand truck loads, full truck loads, every week of groceries across North America with the highest service rates and in the lowest cost of anyone in our industry. And that competitive advantage will allow us to move beyond those customers that we start -- lastly, with regard to the capacity expansion, it's really focused on being able to move beyond that core set of grocery customers to the other channels I mentioned. And secondly, we've got Grove Square that virtually doubled in the fourth quarter, far beyond our original plans. And we've got a very fine offering in those single-serve beverages as well.
Operator: And we'll go next to Ken Goldman with JPMorgan.
Kenneth Goldman - JP Morgan Chase & Co, Research Division: Question on the margin. Obviously, you guys had a very impressive top line this morning. I might have expected the operating margin to rebound a little bit better though, especially with the mix improvement. Can you maybe walk us through -- and I know you've done a little bit of this already, but maybe rank order some of the biggest factors that are holding the margin back a little bit? And maybe give us some color on the EBIT line, where do you think some of those are more temporary versus permanent?
Dennis F. Riordan: Yes. Ken, as I've said, the one -- the big factor that -- on the reported numbers that held back where the restructuring charges and having to run close to $8.5 million through the cost of sales line because the -- how you have to account for certain restructured charges, that was a holdback. We're also in the process, with our Naturally Fresh business, of working on line to margin improvement, but that represents a weaker mix for us as well. As we look at the rest of the business and look at the dynamics from Q3 to Q4, they were very consistent margins. So the efforts we're putting in to drive margin improvements have started, but most of the manifestation of that will come through in 2013. And it's even a longer term play. And that's one of the reasons why we have the 100 basis points improvement coming back into play, this year coming up. And frankly, we're going to start to see those even in the first quarter of this year.
Kenneth Goldman - JP Morgan Chase & Co, Research Division: And then, Sam, normally I wouldn't ask this question but it's something you raised in the past publicly, so I guess it's fair game. 2 years ago, when Dave partially retired, you mentioned that you had at least 3 years left to Treehouse? I'm curious if you can update us on your thoughts and plans in this regard. And I guess, no, I'm not trying to kick you out. And just -- it's because you're the only CEO the company has ever had.
Sam K. Reed: Well, Ken, going back to our long relationship, you're fine to ask me personal questions. The -- what I had said when David moved to kind of Senior Consultant status is that I would commit at least another 3 years to the business, and it has been 2 years since. And kind of there is a certain -- what I did not expect when David left is that I would get so engrossed again in the operations of the company and that has been a tonic for me and really a sense of great involvement and joy. And so I -- with regard to that, the 3-year commitment, I think it will -- that it will be longer than that. And as I indicated in my remarks, I'm really committed to seeing through the -- a reconstructive, revitalized TreeHouse. We created extraordinary internal capabilities now and are currently developing the next generation of senior management. And with the deal market opening up as we believe it is, I just couldn't possibly, in good conscience, leave and allow Dennis and others to get the credit for the next big growth spurt.
Dennis F. Riordan: Thanks for asking.
Kenneth Goldman - JP Morgan Chase & Co, Research Division: Especially Dennis, don't give him the credit.
Dennis F. Riordan: Yes. Exactly. You know us so well.
Operator: We'll go next to Jonathan Feeney with Janney.
Jonathan P. Feeney - Janney Montgomery Scott LLC, Research Division: A couple of questions. Just -- probably detailed questions on that burst of enthusiasm we call the single-serve filtered coffee business. The mix -- I assume that's a significantly higher than average margin product, correct me if I'm wrong about that, and can you give me an order of magnitude on how much that can that affects mix at the gross and operating margin line?
Dennis F. Riordan: It -- Jon, it's a positive. As we've always said, any time you're in a category where you have a dominant brand with very good margins, private label will be able to participate and have better margins. So we have a few categories that work like that and single-serve coffee is one of those. But I can't give you orders of magnitude. But as I've said, we consider that a premium category and those are the ones we want to play in.
Jonathan P. Feeney - Janney Montgomery Scott LLC, Research Division: And following up on Sam's comment about serving multiple channels with -- for private label coffee offering, I'm interested in the actual -- how happy are your existing customers both in terms of takeaway and in terms of long-term planning with their single-serve coffee offering that are really only 2 or 3 months old?
Sam K. Reed: Yes, this is Sam. The initial indications -- and again, we've restricted this to a baker's dozen, if you will, of those leading grocers who have the deepest commitments to their private label programs and their house brands. And the initial indications have been quite positive. It's hard to read the syndicated data yet because I think at our last look of kind of fewer than 25% of all the retail outlets, so we're reporting on coffee across the whole of the business. But the 2 indicators that we're watching very carefully are, one, velocity at the individual store level, and we have customers that range from 1 or 2 varieties up to certain customers who've authorized 8 different varieties. And the second thing we're watching is price differentials between brands, and in particular, branded promotional activity. And while it's early, I'd say based on the preliminary indicators, it shows us that there is a real place here for private label products in the category and that it should fare quite well with regard to our expectations, not only for kind of the customer improvement -- volumes, but also in terms of its share of the aggregate market.
Jonathan P. Feeney - Janney Montgomery Scott LLC, Research Division: Great. Just one last one, please. Have you noticed yet -- and you talked about a better M&A environment broadly, and certainly that sounds great. But specifically, have you noticed the changed dynamic in any way as with now you being really the only strategic center store food consolidator of store brands for the moment -- at least there's another consolidator out there who has explicitly committed to debt pay-down for a long time -- have you noticed a changed dynamic with maybe that change in the marketplace yet?
Sam K. Reed: Well, 2 parts of this. First of all, with regard to general market and its reopening, those -- the observations we have there really come from time before the last 2 big deals were announced. One, the private label merger and the other, the going private of a big public company. And we had -- I think I'd indicated, at one point, that in 2011 that we had met privately with, I believe, approximately the owners of a -- and senior management of approximately 75 businesses. And the relevance of that is that late in the prior year, again, before those 2 deals were announced, as we were making rounds, we began to get clear indications, particularly those that are held by private equity, that they saw 2013, and in particular, the first half, as a time that was coming to bring properties to market. The second thing -- then with regard to the big announcement, I think that what we've heard to date is primarily an anticipation that as the market opens up, that there'll be at least for some period of time, I think, perhaps, a strategic player on the sideline. But on the other hand, I'm firmly believe that this market, the pricing and terms are going to be largely a function of a private equity money that is abundant and one with cheap financing. And so whether there's one party off to the sidelines or not, I think this is going to be a highly competitive market and one that will require how strategic buyers -- that they apply their strategic advantages to the full, not only in the bid process, but more importantly, once the businesses are acquired. And as I tried to indicate, that's where we specialize.
Operator: And we'll take our next question from Akshay Jagdale with KeyBanc Capital Markets.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: I always -- I've been thinking about this for a while, but in terms of the coffee questions, I mean, there's a lot more to TreeHouse than coffee. But it seems like there's a lot of focus on it, so I'm going to continue with that line of questioning. I find it curious that you mentioned only 25% of the, I guess, private label single-serve coffee volumes maybe reported into IRI and Nielsen. Am I understanding that correctly? So in other words, if the private label share is showing up as 2%, it could be actually 8% or 10%? Is that how we should think about it? I'm not sure I understood that.
Sam K. Reed: Akshay, let me clarify that. A recent IRI report, and I don't have the date but it was in 2012, indicated that of all of the universe of kind of outlets and channels and stores that report through IRI, that -- in that 1 report, the 22% of the outlets that they track were reporting movement of single-serve coffee and private label. And there are lag times and lead times to this because it's up to the -- they have to make sure that as these products are authorized to be distributed, that the administration of the system is up-to-date. With regard to what that says about the aggregate share, I don't -- I can't hazard a specific numerical guess. I think we indicated from the very beginning here that we believe that the category would be a fine one for private label, especially for those who committed themselves to not just the brand -- national brand equivalent but to the highest quality, and the coffee, the beans, the roasting, the blending. And that's where we have differentiated ourselves as well as being able to emulate the packaging and the delivery systems of, again, the industry standard. Let me ask -- Dennis, do you have more specific information you'd like to comment on there?
Dennis F. Riordan: Well, actually maybe just a technical one, because this product really just started shipping in the fourth quarter and some of the retailers didn't really -- we're dealing with -- as Sam said, the baker's dozen didn't get their products really starting to ship until December. What you're going is the lag in some of the reporting data as well. So not all retailers will have their products coded and set up in the system that quickly. So I think you got to wait, we'll have to wait a little bit in order to get a good handle on exactly what the private label share is. But even with all those caveats, remember, we said we're taking a measured approach and we're very happy with our program. And I'm not sure we want to start jumping out and talking about things like ground coffee, private labels, 10%, therefore, this will be 10%. It's -- that could be unknown, but at least at this point, I think you have to assume the data is not quite complete yet in terms of measured reporting.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: And just 2 more questions on the same topic. So first, everything we're hearing with our coverage of the space, which includes talking to your private label competitors on coffee, on single-serve coffee, as well as some customer of yours keep telling us that there is some quality issues related to single-serve private label capsules, right? That's what we're hearing. We're hearing that consistently. What could we be missing there? Because clearly, what you're saying is your business is doing great, you're very happy with everything regarding that business. But I'm sure you've seen the customer reviews and some of those customers are presumed to be yours, but we don't know that for a fact. So what's going on there? I mean, is it just over exaggerated? I'm just trying to understand because that's the general consensus not only in just -- in the industry right now.
Sam K. Reed: Actually, it's Sam. We had a Board of Directors meeting, I think last week -- the prior -- 2 weeks ago. And at that meeting presented the full array of all single-serve filtered coffees on the market in both the United States and Canada. And what struck me about the -- and we had product samples and we'd had comparisons done of the delivery systems as well as the coffee across the several suppliers. And 2 things struck me. One, there are more entrants into this business that I would have expected. And some of the smaller ones have done this stuff on a shoestring. They didn't invest in the strategy, the marketing, the science, the technology that TreeHouse has. And a number of them have -- I won't -- I think -- I won't call them deficiencies, but I'd say extraordinary variances between what is the leading brand or the gold standard in this category versus their private label entries. And I was struck, one, at -- so the large number of those. And two, the opportunity that it offers to us over a period of time. And to use our distribution infrastructure to make inroads and gain some of those positions where others who have kind of come up short to my view in that standard currently have distribution, they're just vulnerable to us, particularly when we continue to add capacity. So that's the view from someone that 2 weeks ago looked at every entrant in the marketplace and did it in the context of a highly objective analysis by others in the industry.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: And just one last one. On -- this is regarding your ability to maintain or even improve your margin structure on that product in light of a competitive entry because, again, most people assume with new entrants, margins will come down. What we're hearing is because this category continues to grow very solidly and has not been established because of a low price point per se is that there's no incentive on the part of the retailer to really lower price points to the consumers. So I'm -- I think of the same belief as you are, that margins will continue to be pretty good in this category, at least for the foreseeable future, but I just wanted to get your updated view on that and what's your comfort level? Has it gone better in terms of your view on the margins that are available to a quality manufacturer like yourself?
Dennis F. Riordan: Well, actually, I think that this -- we think this is a good category. We think it's going to remain a good category for quite some time. We think that -- to your point, the nice thing about this for private label is that it's got a brand that's dominant and has a great R&D. They advertise, they market, they've got innovation, they've got all the right things to protect the brand, to protect the category and that will allow private label to have their niche inside that and kind of fit under that nice umbrella. And the key for us is to continue to focus on the premium side, which we will do, and we think it's got a long runway of opportunity here. And so we're very pleased with this. As Sam said, it's been an organic growth for us and a lot of innovation. And that's one of the hallmarks of a great long-term category.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: And so pricing is very -- how would you characterize the pricing environment? I know Sam said you'd be looking at those price caps carefully, how would you characterize that environment within single-serve coffee right now?
Dennis F. Riordan: I think the category dynamics are very good right now and they will stay very good.
Operator: And we'll take our next question from David Driscoll with Citi.
David Driscoll - Citigroup Inc, Research Division: A couple of questions. I wanted to go to the North American Retail grocery overall segment for the fourth quarter. And can you talk a little bit about why margins were down year-on-year? I think volumes, Sam, I knew you said in the release, volume/mix was up 8.7%. Usually, when we see such strong volume growth in the quarter, we would expect some kind of volume leverage. So maybe you guys could explain the margins in the quarter just on that segment a little bit.
Dennis F. Riordan: Yes, we did positively there. But one of the things that we still have and it's been consistent with the third quarter, David, is we continue to see a -- still a fairly strong push to the value products. So in certain categories where we did very well, at hot cereal for instance, we're still seeing very strong demand for something like tube oats, which are much more of a commodity product, ahead of something like the single-serve instant oats. So that type of mix is still there, it hasn't changed significantly, and that's why the margins stayed relatively steady with the third quarter.
David Driscoll - Citigroup Inc, Research Division: Okay. But over the course of time, I mean, seeing the strong volume growth, you would expect to see margin improvement, not flat margins, on a longer term basis, is that accurate?
Dennis F. Riordan: That's accurate. And that's why next year, we're targeting the 100 basis point improvement. Certainly, we'd love to see more, but I think we're going to be back on the road to the margins going north again instead of south.
David Driscoll - Citigroup Inc, Research Division: Well, that's a pleasant advantage. On soup, can you discuss specifically what sales and margins were? And then most importantly, what I really want to understand is, explicitly, what's the dollar loss in sales in 2013 because of the soup issue?
Sam K. Reed: David, it's Sam. Let me talk about the matter in general and qualitative terms first, and so that the strategy is clear here. Our expectation for 2013 is that it will be the year in which we reset our strategy and investment in private label soup, gravy and broth, with the understanding that as we look at the whole of the category over an extended period of time, what one could see is that the whole of the business of canned soup was steadily losing its aggregate volume. And ostensibly, a lot of that is related to kind of consumer preferences and the way that national brands had struggled for some time to be able to address those. And we concluded that the -- we needed to reduce our aggregate investment in the category and closed one of our 2 plants. And secondly, we concluded that given the national brand, if you will, kind of duality, that we had created an infrastructure that was competing to provide a presence for all customers in all product categories, segments, that replicated the entire -- the entirety of that business. And I think that -- I believe I've mentioned once that we were undertaking a strategic review and I was very pleased to find out that we were focused on 6 new product formulations and entries in that year, but dismayed to find out in the same sitting that we had 84 reformulations going on of highly complex products that we had introduced simply to not only be the national brand equivalent but be the equivalent to both national brands and segments that were only minutely differentiated. And so what we're doing here in 2013 is not only reducing our investment in the whole of the business, but greatly simplifying our offering and going -- and trying to find that base of grocery customers that we can most profitably serve with, in effect, a single national brand equivalent in segments where there's sufficient volume and margin to allow us to begin to improve the business. And then lastly, I'll say that we're doing so with the explicit recognition that we would rather be a sustainable, profitable #2 than hang on to a category leadership position in private label that was a no-win proposition for us. So those are the big data -- are the big numbers. The proof in the pudding will come out in 2013, '14 soup season. And the plans that we have made -- and Dennis has had an integral part in the development in these category plans -- indicate to me that we're clearly on the right track here. Thank you.
David Driscoll - Citigroup Inc, Research Division: Dennis, can you quantify the dollar sales loss?
Dennis F. Riordan: I can't do that, David. And one, we never do give the category sales forecast. But I would say that in the soup business, it's a little more open-ended right now, because the soup selling season is really in the April through June time frame for next year. And with the SKU rationalizations of formulations we're doing to become more efficient, it's a little more difficult in that category to say exactly where we're going to be. We've done our best estimates but that would be the one area, as we go into 2013, that is a bit more of an unknown than the other categories.
David Driscoll - Citigroup Inc, Research Division: All right. Well, bottom line, where I was trying to go with this is that you gave this positive volume guidance, which has definitely got a big negative volume hit on soup. You got some kind of volume positive on single-serve coffee that's unusual because of the rate of growth. And then you've got what's going on in the rest of the business. It was our expectation that looking at the year, the soup hit would be pretty significant in such that I think your volume guidance is a little bit better than I expected. But I'm really not -- I'm unsure on how to track all this stuff because you're just not giving us any of the pieces. Is there any? Are you even putting a range on it? Soup is a couple of points of the headwinds, single-serve is 2 points of a positive, and the base, the rest of the business does x. Is there any way you can frame this?
Dennis F. Riordan: Let me just a give a general, very general framing for you. You've got the components right. We will be growing our single-serve beverage business very nicely in 2013. We will be restructuring down and having lower sales in soup. And the bulk of our other categories, with the exception of the addition of the Naturally Fresh on a full-year basis, should mirror, in general, what the food world's going to do. So think of most of our business as going to be of moderate uptick. And we'll have 2 opposite dynamics in the coffee and soup. And then layer in the extra 4 months of Naturally Fresh.
David Driscoll - Citigroup Inc, Research Division: If I could be so bold as to just ask one last thing? You didn't mention dry dinners and powdered beverages, and there was a lot going on in those 2 categories. A lot of competitive activity from some of the big guys in dry dinners and then powdered beverages. And you told us a lot about the new product that you were launching there for the, you don't really call it a powder beverage anymore, but the bottom line, you have a lot of efforts there. Can you just give us an update on those 2 areas?
Sam K. Reed: Certainly. First of all, with regard to the sugar-free beverages, whether they're powdered or otherwise, we have entered with the liquid beverage enhancer that, although we're late to market, emulates leading national brand in that regard. And we have, in compensation to being late, focused really on 2 things: one, a package that is far superior to the other private label packages out and there have been instances here where the those packages have not been leak-proof as they should've been; and then secondly, we've utilized the ingenuity and the, well, the consumer marketing activities at that particular low creation in the company to come up with varieties and flavors and combinations that will distinguish us there as we are currently doing that in the powdered beverages as well. So a quick summary, we're late to the party there, but we've got a better product than our counterparts. And we'll go to work on getting our fair share in that regard. In dry dinners, kind of 2 big headlines here. One, that we have greatly improved our business during the course of the last year. And we had invested heavily in automation in microwavable cups and also skillet dinners and without -- I know you want the number, but at year's end, we were running against our production standards twice the share of aggregate production that was above our standard model than in comparison to the beginning of the year. So made great strides internally. And then now, our real focus going forward is that there's been great growth in the national brand here and Kraft has come up with a second brand that has been a real boon to their volume. And we are, as you would expect, quickly on their heels with regard to how do we come out with the flavors and formulations in packages that can appeal -- give us the equivalent of that new brand out there in terms of its appeal and its convenience. And there's always a certain lag time to those. And -- but I think we'll see in 2013 that our business will do quite well in that regard.
Dennis F. Riordan: And, David, just one real quick thing. When you look, and I know a lot of people look at the IRI data. It's difficult to really pinpoint exactly what TreeHouse or other private label companies are doing. And I think you were alluding to maybe the IRI data did not look so impressive for the dried dinner category for private label. But I will say that our fourth quarter sales were positive year-over-year. And we are finishing the full year almost 10% up year-over-year in dry dinners. So the tale of the tape isn't always what you see in the IRI number. You have to look at how -- what business was taken and won during the course of the year and we had a good year in dry dinners.
Operator: We're going next to Farha Aslam with Stephens Inc.
Farha Aslam - Stephens Inc., Research Division: One quick last question. It's on the promotional cadence in your categories. Throughout last year, you said it was tough to predict when you're going to see the branded players come in and promote. But today, you sound far more confident about 2013. We just like to understand what has changed that's giving you this added confidence?
Dennis F. Riordan: Well, from my perspective, what we tend to see is the -- a renewed focus on innovation. I think in the categories we've gone on, there's always going to be promotion happening in the season. When a brand's in season, that's their heavy promotion time and that typically is when private label shares drop. But as we'd look at what's starting to happen, it looks likes there's been a bit of a pullback. As I look at the results of the other branded companies, I'm finding that the promotion numbers seem to be getting to a point where I don't know if they can continue to do that. We've seen some of our other competitors make significant cuts in advertising and other pieces. I think they're starting to hit the floor and if recent presentations from down in Del Vista Boca (sic) [Del Boca Vista] or where ever everybody is right now, would imply that the -- that everybody's going to be back on innovation. And that's what will differentiate. And so that we see is a trend that should continue into 2013.
Farha Aslam - Stephens Inc., Research Division: And then my final question is just in terms of your alternative channels and your dollar-stores effort, did you -- are now you up to where you want to be with those product formulations and the margin in that channel? Is that where it needs to be for you guys?
Sam K. Reed: This is Sam. I think we're far better than we were when this change first started. And what we have to -- have had to do is sort out not only in that class of trade, but by individual customer, what is kind of the right products for their individual stores and whether it is opening price point or smaller sizes. And thirdly, what accommodations can we make for them with regard to identifying productivity that we can -- and ways that we can favorably affect, particularly in the logistics system. And we made substantial progress in that regard and now have an agenda that is highly focused on certain categories, not all, and certain customers, not all, where we believe that we've got a sustainable advantage. So I'm pleased with the progress. We're not where we want to be yet, but we're on the right trajectory.
Operator: And we'll go next to Jon Andersen with William Blair.
Jon Andersen - William Blair & Company L.L.C., Research Division: Most of my questions have been asked and answered. But I guess, Sam, I think I heard you mention natural and organic in your prepared remarks on 2013. I guess, I was just curious, what your business consists of today in that space and maybe what some of your efforts may consist of going forward in that area? Whether it be specific products oriented around the natural and organic opportunity or bigger push into that channel?
Sam K. Reed: I'll tell you, the driver of all of this and it is that the premium segment of retail grocery has been our fastest growing over the last 2 quarters at least. And the -- with regard -- I think it's a fact or -- related to the bifurcation of the consumer market where the 1% are doing pretty damn well and it shows up in those retailers who focused on natural or on organic and premium products with their brands. And that has been a great opportunity for us across a number of categories and frankly, something that has materialized in a bigger and faster way than I would've expected a year ago when we were completely preoccupied with dealing with the discount side of the business. But I welcome that market development and we're in good position to leverage it.
Jon Andersen - William Blair & Company L.L.C., Research Division: Great. Maybe one for Dennis. Dennis, just on gross margin in 2013, I know you've got a tough goal here of 100 basis points of improvement year-over-year. There are a lot of moving parts, clearly, with channel mix and pricing cost, now I guess in better alignment and the investment in premium products ongoing. The improvement though, as you look at it on a quarter-by-quarter basis, should we be thinking more of kind of steady sequential improvement from a fourth quarter level or do you expect year-over-year improvement kind of right out of the gate in 2013?
Dennis F. Riordan: I think it's something we will anticipate building up to. I'd love to see it pop, but it usually doesn't work that way, Jon. So I think we'll start a little low and grow our way into the full 100 basis points.
Jon Andersen - William Blair & Company L.L.C., Research Division: And do you see 2013, is this a year of catch up after I guess, more challenging gross margin dynamic in 2012? Or is there kind of a return now to maybe your multiyear -- your historical multiyear goal of 100 basis points of expansion on an annual basis?
Dennis F. Riordan: Well, I'm hoping that's -- it could be a long term. But every year, somehow, some way, there's a new dynamic thrown at us. But I do think, given the structure of private label, given our 9 -- 18 plants and where the significant amount of our costs are, we should continue to target that as a long-term goal and find those improvements internally, because I think you're always going to have a challenging external market to try to price your way. I just don't believe you can price your way to margin improvement on a long-term basis. And so it's an internally focused activity for us.
Operator: And our next question from Thilo Wrede with Jefferies.
Thilo Wrede - Jefferies & Company, Inc., Research Division: Dennis, since you already mentioned the CAGNY presentations, I think there's a mixed message down here on the state of the consumer and the current environment. Your press release talked about conditions in early fiscal '13 are moderating. Can you square that against the consumer that is facing higher taxes, higher gas prices, unchanged unemployment? How much of this moderation that you're seeing right now is just easy comps versus actually an improvement for the consumer?
Dennis F. Riordan: Well, clearly, we had some easy comps, and I mentioned that a few times with the fourth quarter. It's hard to tell exactly how the consumer can respond. But there's been some discussion that there's already a very large retailer seeing some impact from that. Obviously, in food, you have to eat. One of our assumptions though is that the pantry deload has happened. And it's done and we are leveling out. I think the consumer data we saw last fourth quarter, bears some of that out. We finally saw some positive movement. One of the things that we also saw for the first time, I think, in 5 quarters, was that some of our traditional grocery customers actually, our volumes were positive for a change as opposed to seeing that negative shift in traditional and a very big positive in the pure value side. So that's what we're basing a return to the norm on to a degree. But we're still going to see dynamics change and one of the things we've decided we need to do in 2013 is be prepared for the challenge as opposed to walking into the year like we did in 2011 and 2012, where we used a lot of terms of moderation, back to normal and '11 and '12 didn't come close to getting to normal. So we're hopeful we're there. But just as you pointed out, there's a lot of things happening. And so we're taking a bit more conservative view going in, in terms of how we've managed the backside of our businesses, the processes, but we do think the consumer's back to buying.
Thilo Wrede - Jefferies & Company, Inc., Research Division: Can I take away from that, that your EPS guidance for the year then is skewed more towards the cautious side rather than the optimistic front?
Dennis F. Riordan: I think given the fact that we ran a streak back from about '06 through 2010 of 16 straight quarters of beating and now we have a 50-50 history over the last 1.5 years that we aren't about to start sticking our necks out too far.
Operator: And we'll go next to John Baumgartner with Wells Fargo.
John J. Baumgartner - Wells Fargo Securities, LLC, Research Division: Sam, can you talk a little bit about the prospects for distribution growth in Retail. I guess maybe in terms of how you used to refer to Big Wins. Are you seeing the distribution growth across your customer base? How would you characterize that going forward?
Sam K. Reed: Two elements to it. I think that, one, with regard to traditional supermarkets and mass merchandisers, that our efforts are becoming much more focused than they had been in the past. And I had either said, I think, twice in the prepared remarks that it really is the portfolio strategy that guides us, not only to the categories, but to the customers and the channels of distribution where there are big opportunities. And we had done an analysis in preparing for 2013. We've done an analysis where we went back and we looked at our Big Wins program and it -- we were pleased with the aggregate result, but surprised to find out that a substantial proportion of items where we where we had invested in, marketing and strategy, technology, packaging, formulation, had turned out to be rather marginal products for 2 reasons: one, they really weren't differentiated and deliver the full promise of kind of the value without compromise; and secondly, they were with customers that were far more transactional in their nature than strategic with regard to their house brands. And so we tried to reset this and do fewer but larger projects and really -- and to concentrate those in categories where we know we can deliver. And secondly, with customers where we know that this will be an enduring aspect. And Dennis had indicated we're seeing some of those traditional grocers start to do better of late. And then the other factor is that the proliferation of alternate retail outlets and non-food retailers that are now carrying some food and beverage products. And thirdly, the Internet, it opens an extraordinary opportunity for someone in private label that's willing to make the investment as we have in developing systems to serve those channels of distribution. And so I'm -- my view on this thing is that we've been through the worst of it. We've had to adapt our company to those structural changes and understand that wherever consumers got to go -- wherever they're going to go, whether it's on the Internet or the supermarkets or these alternate channels, we've got to develop our business systems to efficiently and effectively serve them. And that's the big opportunity here.
Operator: And we'll take our next question from Robert Moskow of Crédit Suisse.
Rachel Nabatian: It's Rachel Nabatian in for Rob. So branded companies, is there any trade de-loading in 4Q? Now did the retailers treat private label differently? And if so, would you say that, that's a positive regarding the merchandising plans?
Dennis F. Riordan: And you said there was trade load?
Rachel Nabatian: De-loading -- trade de-loading.
Dennis F. Riordan: As I said in my -- we continued to see month-to-month fluctuations. And we had some accounts that were unusually low in December and others that weren't. I think our view now is, at least for private label, it's going to be a month-to-month game and in terms of trying to manage how we ship to our customers because their order patterns are not as consistent as they were. So I can't say that it was unusual anymore. I think it's now become the norm that retailers, in particular, are going to manage their month-end inventories as tight as they can. And historically, we had, for many years, the last week of a month was always the biggest shipment week of the month. And lately, it's become the smallest, or one of the smaller weeks as week 1 now seems to be the big shipping time. So there's a lot of change in dynamics. I don't think we're any different than what the rest of the food companies are going through.
Operator: And we'll go next to Amit Sharma with BMO Capital Markets.
Amit Sharma - BMO Capital Markets U.S.: Sam, just a clarification to a earlier question. I think, Dennis, you mentioned that your core business will grow largely in line with the overall food sector. So one of the key investment thesis in our opinion has been your scale. You have the ability to serve national customers, and therefore, you would expect TreeHouse to grow faster than the overall food -- take share away from sort of your smaller competitors. Is that premise changing or is that just a dynamic of -- for 2013.
Sam K. Reed: Well, I think the premise is still intact. What we want to be careful about, especially after the last 2 years, we've really moved in fits and starts and some of that is clearly of our own making, and as Dennis indicated, we wanted to look at all of these projections on a basis that was not -- we want to make sure that we weren't going out beyond our capability. And you have here the dynamic that, one, there -- we expected there will be growth in the business in the coming year. And when we looked at the point I'd made about the 0.06 of a point decline in the past year, quarter-by-quarter, that measure improved each of the 4 quarters. And it was coincident with a reduction in the rate of price increase in private label, which in the first quarter was more than 3x that of the second quarter -- or the fourth quarter. And with our expectation that commodity and energy inflation will be relatively modest, God help us, in 2013, we expect that those trends will continue to, quarter-to-quarter, get somewhat better. The second factor for us is that we do have this extraordinary operational and supply chain advantage. And we've -- we'll apply that, but not in a general way. It'll be more toward specific customers, channels and categories where we believe that we've got -- can invest in a sustainable business. And then lastly, and it is -- attest to the complexity and the size of TreeHouse, and we now are the North American leader in virtually a dozen shelf-stable, dry product, private label categories, depending on how finely you divide those. And we've got a complex portfolio of products to manage. And so that the advantage of that is that we are not entirely dependent on less than a handful of categories like we were at the beginning but, in fact, have then that baker's dozen where we're among the leaders now. And then that allows us to invest for growth in certain businesses while we're retrenching in others. You put all of that together, I think it gets you back to the range that Dennis quoted earlier in his prepared remarks.
Operator: We'll go next to Bryan Spillane with Bank of America.
Ryan Oksenhendler - BofA Merrill Lynch, Research Division: This is actually Ryan Oksenhendler in for Bryan. Just a quick question on the outlook for inflation, some of the branded companies have said that inflation actually could be a tailwind in the back half of the year. Is that a possibility for you guys? And if so, would you consider lowering prices in terms of -- in order to open up some of the price gaps or to drive volume? I think some of the branded guys, I think, are looking to hold on to the pricing.
Dennis F. Riordan: Yes, as a look at the input costs, one of the differences we have from a number of the branded companies is we have a very wide portfolio of products. So we look at it as more of a basket. And our view is the basket is going to increase. But there'll be pockets. It just depends on the particular ag input, so we do soy bean, corn, oats, cucumber. So there's a variety of products. Our expectation is not that we're going to see lower costs. We expect there'll be some higher costs and we're prepared to deal with that. So I'm not so sure I'm ready to commit to price givebacks and things of that nature because I think we're still going to have to be very targeted in certain product category of ours in regard to pricing.
Operator: And there are no further questions in the queue at this time.
Sam K. Reed: Hey, thanks, everyone. Dennis and I look forward to reporting to you next in early May. And we're delighted that so many of you called in and can stay on with other activities this morning. Take care.
Operator: Again, that does conclude today's presentation. We thank you for your participation.